Operator: Thank you for standing by. This is the conference operator. Welcome to the Alexco Resource Corp 2017 Fourth Quarter and Year End Conference Call. As a reminder, all participants are in a listen only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Lisa May, Director of Investor Relations. Please go ahead.
Lisa May: Good morning. Today is Thursday, March 15, 2018 and I would like to welcome you to Alexco Resource Corp's December 31, 2017 fourth quarter and year end conference call. This conference call is being webcast live and can be accessed at the company's website at alexcoresource.com. You may sign up on the Alexco website to receive future news releases and other event updates as they are issued. You will also find Alexco's news release with quarterly and year-end financial results there. This conference call will be recorded and archived on the company's website under Events and Webcasts. Giving presentations on today's call will be Clynt Nauman, Chairman and Chief Executive Officer; Brad Thrall, President; and Mike Clark, Chief Financial Officer. We will have a question-and-answer period after our presentations. Before we get started, I need to remind you that some statements made today may contain forward-looking information. Our business involves a number of risks that could cause results to differ from projections and investors are urged to consider those disclosures and discussions pertaining to risks that can be found in Alexco's SEDAR filings. It should also be noted that past performance discussed in this conference call is not indicative of future results. I would now like to turn the call over to Clynt Nauman.
Clynt Nauman: Thanks, Lisa and thank you all for joining us today for review of our 2017 fourth quarter and year end results. In addition to in our review for 2018, we continue to move steady forward with a development of the Bermingham and Flame and Moth silver deposits with a focus of putting the Keno Hill Silver District back into production. Our underground surface and corporate operations remained very disciplined to ensure risks are managed and allowing us to execute each step in a safe effective and measured manger. As you know we have a unique and financially robust project with infrastructure already in place, silver grades that are unparalleled, a short timeframe required to get back into production and a team of skilled professionals and operators to share visions. As a result of our disciplined approach throughout this process, I continue to the company to move up the value curve over the next year. On the call today, I'll briefly highlight some of the 2017 year end results and then give some guidance on our plans for the next 12 months. Brad Thrall, President of Alexco will discuss the operations, development progress of our underground work at Keno Hill and Mike will follow-up and walk us through a summary of the financials. On that note, we released our financial results yesterday outlining a loss before taxes of $6.1 million for the year ended December 31. Of this, $4 million were non-cash items comprising depreciation and share-based compensation expense. As I mentioned, Mike will address these numbers in greater detail further in the call. Some of the operating highlights and they required a few in 2017 included in January, the announcement of our updated mineral resource estimate for the Bermingham deposit, expanding indicated mineral resources at Bermingham for 5.2 million ounces to 17.3 million ounces at a grade of greater than 600 grades for ton. While in the inferred resource category, there was expansion from about 3 million ounces to 5.5 million ounces of contained silver. In March, we made public, the results of the independent technical report entitled Preliminary Economic Assessment of the Keno Hill Silver District Project outlined the strength of our project and at the same time, we announced the updated [indiscernible] streaming agreement. It was this new agreement which opened the door for us to move back towards production as agreement is essentially a downside here 25% of the payable silver ounces and this is help us preserve margin while operating through the entire pricing cycle. In the mid-year, we received our amended class 4 permit allowing our crews commence 580 meter underground exploration deep line into the Bermingham deposit and we also received an amended type A water use license from the Yukon Water Board authorizing the process, use and discharge of treated water and deposition of dry stack tailings from the Flame and Moth deposit. This amended was a final authorization required for ore production from the Flame and Moth, so we now three other ore deposits in our mine plant fully permitted. Now let's put all that in context rather to the work we completed during the balance of 2017 and while we are currently planning in 2018. As mentioned, receded amended class 4 permit in late August allowed us to commence the Bermingham deep line to about 75% complete today and we expect to complete that decline in April 2018. Based on previous guidance, we are few weeks behind schedule for completion and attribute that to some equipment availability constrains and some slow going establishing the portal and the initial nester of its mining. A 13,800 meter service exploration program was completed at Bermingham in 2017 at a cost of 3.6 million. Results were announced in November. They were as know quite encouraging and we'll be incorporated into an ongoing pre-fees study that we expect to publish in late Q3 of this year. Alexco remains in strong financial shape with cash and cash equivalents of 17.9 million and working capital of 18.4 million. This give us plenty of runway to consider our options as we move towards a production decision in 2018. At this point, I am going to turn it over to Brad Thrall to continue with the discussion of the advanced exploration decline of Bermingham and other operations onsite for the next 12 months. Brad?
Brad Thrall: Thanks Clynt. Good morning, everyone. Advancing the underground exploration decline at the Bermingham deposit in 2017 and into 2018 has been our primary focus at Keno Hill over the past six months or so. We began advancing this decline underground in September of 2017 and we have completed 430 meters out of a total of 580 meters. As Clynt mentioned, our updated timeline for completion of the Bermingham decline is April 2018. I also want to note that in December of 2017, we surpassed five years without a lost time accident at Keno Hill and we continue to have an excellent safety record while conducting the underground work at Bermingham. Immediately following the completion of the decline, we would then initiate approximately 5,000 meters of infill and confirmation drilling in the Bermingham deposit, mostly focused on the upper portions of the deposit that are included in the early years of the PEA mine plan. Using two underground drills, it will take approximately two months to complete this underground program. In addition, we will complete further geotechnical and hydrological drilling and investigations underground at Birmingham that is required for more detailed mine planning and design purposes. This program is estimated to cost approximately $8.1 million, including underground equipment rebuilds and purchase. The Bermingham underground infill drilling program will tighten up the spacing to approximately 10 to 12 meter centers and will confirm the location, geometry and grade of the mineralization with the objective of upgrading the existing inferred resources to indicated status and upgrading existing indicated resources to measured resource status. Results from this drill program will be incorporated into the prefeasibility study that is currently underway. The drill program and study will also increase confidence in the geological model as well as advance our mine design and studies. Some additional exploration work looking for extensions to the high grade mineralization will also be completed from these underground drill stations. In addition to the underground work at Birmingham, we have begun a mill refurbishment and improvement program. The objective of this work is to systematically inspect and repair existing mill equipment after a sustained care and maintenance period, as well as implement the number of identified process improvement projects. We have also begun the construction of a water treatment plant that will be housed within the current mill building and is necessary for treatment and discharge of water when we begin development of the Flame & Moth decline which is currently scheduled to begin in May, immediately after we complete the Birmingham decline. As Clynt mention, in December, the company received the final amended Type A Water Use License from the Yukon Water Board for the Flame & Moth deposit. This amendment allows for the use and discharge of treated water, the processing of water from Flame & Moth and deposition of the dry stack tailings. This amendment represents the final authorization required for ore production from the Flame & Moth silver deposit in addition to Keno Lucky Queen and Onek deposits that are all fully permitted. Staying on permitting, in November, we submitted a SM project proposal for Environmental Assessment and permitting for the eventual production and processing of ore from Birmingham. Once we are through the environmental assessment process which is expected to be complete in the second quarter of 2018, we will then submit amendments to our Quartz Mining License and Water Use License, is expected to have an amended QML in the third quarter of 2018 and an amended Water Use License in early 2019 and this is the final authorization required for production in the Birmingham deposit. So at this point, I'm going to turn it back over to Clynt to summarize what we are working towards over the next 12 months.
Clynt Nauman: Thanks Brad. As Brad discussed the first phase of our redevelopment program as well underway with the advancement of a decline Birmingham. And once that decline is complete in April, the underground drill program and the underground drill program is underway, will move our mining crews and begin to decline at Flame & Moth which is already quoted. The 965 meter decline of Flame & Moth is expected to take approximately 7 to 8 months to drive with an estimated direct cost of about $10.5 million. At this point, we have committed to drive the first 250 meters or so of this decline and expect to make a decision to continue and complete the decline by the end of Q2, 2018. This is the disciplined approach I previously mentioned with the significance of Q2, 2018 being the time when we will need to be looking very carefully at the market, accessing our own performance and costs and most importantly, finalizing sales arrangements for lead and zinc concentrates which we would anticipate producing. As Brad noted, the completion of the Birmingham decline next month following that we'll launch a 5,000 meter, $1.2 million underground drilling infill program, 30 to 40 maybe more holes. With these results and results from our 2017 surface exploration program, we intend to update the Birmingham resource which will then feed into a pre free study which is expected to be complete by the end of the third quarter 2018. Assuming everything goes ahead as planned and on time, we could expect to have the Flame & Moth decline completed in the latter part of 2018. While we have committed to driving the initial 250 meters of Flame & Moth, as I previously mentioned, we will continue to monitor market conditions, exchange rates, smelter cost trends, metal prices, drilling results and permitting progress at Birmingham, as well as our finances before making a formal decision to complete the decline. With the prefeasibility plan that is completed by the end of 2003, we'll certainly be in a position to make a formal production decision before the end of the year. Until the end, we'll continue to keep our heads down and complete projects to take as close to production as long as indicators remain strong. Concurrent with all the side activity, we'll complete the permitting process for production at Birmingham as Brad mentioned by amending our existing QML and more licenses. We expect this process to take to 12 to 18 months, the process which we began in Q4, 2017. Brad already made this point but it bears repeating, once the Birmingham ore license process complete, we'll be fully authorized for mining and processing operations from each of the core deposits in the current mine plan. Turning to exploration, as you mostly know, this will continue to play a significant role in Alexco's growth. Since 2013, we focused on discovery and immediate follow-up drilling to outline potentially minable mineralization. By this method, we have found and drilled out two deposits, the Flame & Moth and Birmingham deposits totaling about 44 million ounces of indicated silver resource, an average grade between 500 and 600 grams per ton silver. About half of that is at a grade of 800 grams per ton silver or greater. So we have found plenty of ounces, we have plenty of tons to feed our 400 tons per day mill. This year, our expiration goals will shift back to focus on a new discovery, mix Birmingham or Flame & Moth type of deposit for example. Simply put based on our past experience, we have two deposits in the bag, they are both open and will be further explored from underground but in terms of service exploration, it's time to move away from these successes and look for the next deposit. With all those lines, we have maintained a team of geologists on site over the winter and as a result of their work, we're looking very carefully at actually expanding our 2018 exploration work from the previously planned 10,000 meters to perhaps 15,000 meters to test about a dozen targets in the general vicinity of the Birmingham discovery. On the environmental side of the business, AEG posted a strong year end with gross profit of $4 million and a gross margin of 37%. Our U.S. operations have picked up a number of projects that continue to showcase our expertise in water treatment. Additionally, our Canadian operations are making advances towards active remediation of the historical cleanup at Keno Hill. I expect this elevated level of work and profitability to continue in 2018. During Q4, 2017, we completed a strategic review of our environmental business and restructured our U.S. operations accordingly. This will allow us to take on larger projects in the U.S. without having to put the parent company balance sheet at risk. Similarly, in Canada, we see opportunities to expand our business by inching towards technology and science aspects of the environmental world to enhance our already well-established ongoing fee-for-service business. We're often asked about staffing, as we go through this rebuild process, rest assured labor force in the Yukon is rounding out nicely and we've also made some recent hires in key positions that we're very happy with both in terms of caliber and quality of applicants that we're seeing and in fact several former members of the Alexco team have been hired back. This is a great advantage for us. At this point, I'm going to turn it over to Mike Clark to review the financial numbers and then we'll take any questions that may be out there. Mike?
Mike Clark: Thanks, Clynt. Good morning. This financial report is for Alexco's quarter ended December 31, 2017. Note that we reporting Canadian dollars, so all dollar amounts will be in Canadian dollars unless stated otherwise. For the full year, we reported a net loss of $7.6 million for a loss of $0.08 per share. Loss before taxes for 2017 was $6.1 million including non-cash cost to $4.5 million which is comprised of $1.6 million for depreciation and amortization costs, $2.4 million for share based compensation expense and 500,000 for advisory fees paid by issuing shares. This compares to 2016 net loss of $4.4 million and $0.05 per share and a loss before taxes $4 million. The increase in net loss in 2017 compared to 2016 was mainly attributed to increased non-cash share based compensation expense in 2017 earning fewer games on investments in 2017 and incurring $1.3 million in 2017 for costs related to restructuring the amended silver purchase agreement with Wheaton and restructuring the Alexco Environmental Group. AEG revenues for the year were $10.7 million and the gross profit was $4 million for a margin of 37%. This compares to revenues last year of $11.3 million and a gross profit of $2.9 million for margin at 25%. The increase in gross profit during 2017 was mainly due to AEG U.S's as operations achieving improve profitability over the course of the year. During 2017, the company incurred $9 million in mineral property expenditures compared to about $5.3 million in 2016. The 2017 expenditures were mainly comprised of the advanced underground exploration program at Birmingham, the service exploration program at the Birmingham deposit and permitting at Flame & Moth along with building of the Flame & Moth water treatment plant. I will now highlight some of the financial results for the fourth quarter. For the fourth quarter ended December 31, 2017, Alexco reported a loss of $1.7 million and total revenues of $2.5 million. This compares to a net loss of $1.8 million and total revenues of $2.9 million in 2016. AEG recognized a gross profit of $993,000 and a gross margin of 40% compared to the 2016 fourth quarter gross profit of $881,000 and a gross margin of 30%. Higher 2016 revenue was attributed to AEG's completion of the expansion of an interim water treatment plant at the Gold King Project, while the 2017 fourth quarter, it improved gross margin percentage which is mainly related to improved profitability at AEG U.S's operations. Mine site care and maintenance cost in the fourth quarter of 2017 total $453,000 compared to $480,000 for the same period at 2016. The decrease in costs is mainly due to lower depreciation charge in the 2017 period. Included in mine site care and maintenance cost is depreciation expense of $318,000 in the fourth quarter of 2017 compared to $380,000 in the same period 2016. Corporate, general and administrative expenses in the fourth quarter of 2017 totaled $1.7 million compared to 1.3 million in the fourth quarter of 2016. The increase in 2017 period relates to an increase in share based compensation expense and costs related to restructuring in AEG. Environmental Services general and administrative expenses in the fourth quarter of 2017 totaled $585,000 compared to $658,000 in the fourth quarter of 2016. The decrease in general and administrative expenses is result of higher personnel utilization to billable projects. At December 31, 2017, the Corporation had cash and cash equivalents of $17.9 million and net working capital of $18.4 million compared to cash and cash equivalents of $20.3 million and net working capital of $23.4 million at December 31, 2016. The Corporation faces no new liquidity issues, we're aware of any significant credit risks in any of its financial assets. In addition, the Corporation's restricted cash and deposits at December 31, 2017 totaled $7.1 compared to $6.9 at December 31, 2016.
Lisa May: Thank you, Mike. Operator, would you provide instructions for the Q&A session now, please.
Operator: Thank you. We will begin the question-and-answer session. [Operator Instructions] The first question comes from Jake Sekelsky with ROTH Capital Partners. Please go ahead.
Jake Sekelsky: Hey, guys. Thanks for taking my questions. With the Birmingham decline nearing completion now, what is the timing look like for finishing that 5,000 meter program?
Clynt Nauman: Hey, Jake, this is Clynt. Yeah, it should take probably a couple of months I think to do that drilling. And then we've got a course cycle of the core through the SA process and whatnot. So it's going to be a good three months I think even after we start drilling before we start seeing any comprehensive results from that. But just be aware that we are putting a couple of drills in there which I'm trying to get it done as quickly as we possibly can, but still it's probably going to be eight weeks or so underground.
Jake Sekelsky: Got it. And kind of staying in that Birmingham, I mean if the final permits that you guys are waiting for delayed in any way, could this all through the timing of a production decision or do you still feel comfortable moving forward given that the other deposits are fully permitted?
Clynt Nauman: Yeah, it's kind of a judgment call. Birmingham is not the high deposit that we're looking at, we've got Bellekeno, Flame & Moth is going to be sitting there essentially ready to go. So it will be a judgment call, I mean Flame & Moth is producing almost 600 gram range. The early production out of Birmingham as we currently see it is more than a kilogram in our silver. So it's important for sure but it's not a deal killer if that permit is delayed. That being said, we're planning on getting that permit in a reasonably expeditious manner.
Jake Sekelsky: Got it. Perfect. That was all from me. Thanks guys.
Operator: Our next question comes from Mike Kozak with Cantor Fitzgerald. Please go ahead.
Mike Kozak: Yeah, good morning, guys. Thanks for hosting the call. Just a couple questions for me. Brad, you just went over it pretty quickly, can you remind me, so you're saying amendment of the Quartz Mining License at Birmingham in Q3 and then the amended water license in Q1 2019, is that, I get there right?
Brad Thrall: Yeah Mike, that's pretty good guidance. Again the Quartz Mining License is a fairly straightforward process, so we'd expect that in the third quarter and the water license sometimes in first quarter.
Mike Kozak: Okay. Thanks. And then the $8.7 million you have budgeted for Birmingham underground drilling and development, does that include the money that you've already spent on the decline or no?
Brad Thrall: Yes. It does. So that would be all the costs incurred from the start of the project.
Mike Kozak: So what's the real note, what spend going forward, how much have you spent on the decline of that $8.7 million?
Brad Thrall: Right, now I think our cost to complete that entire project are about $4.2 million going forward, that's the start of 2018. So we roughly have…
Mike Kozak: Maybe to the extent that you can just because you are getting close to maybe like finalizing off take agreements and that type of thing. I mean what are - from what I understand the TC-RC markets are very, very favorable towards the producers, can you maybe comment on just what –how those discussions have been going with potential off takers?
Brad Thrall: Yeah. Thanks for the question. And yes it is generally well known in the business that the TCRC is favorable to the producers. There have been I guess numerous discussions, some mostly unsolicited from a variety of off-takers, traders, smelters et cetera. And quite frankly, we are looking at all of this information as it's coming in trying to balance it up against our own, I guess financial targets as well as all of logistical concerns that come with moving concentrate. So I mean the quick answer to your question is, there's lots of different alternatives, we're watching carefully, we have not committed to anything with anybody but we appreciate that the market continues to improve for the miner.
Mike Kozak: Okay, great, thank you very much guys.
Operator: [Operator Instructions] Our next question comes from Mike Niehueser with Scarsdale Equities. Pease go ahead.
Mike Niehueser: Hi Clynt. A question about the backlog of environmental business at Keno Hill, could you remind me of the size of what the links of that program might be?
Clynt Nauman: Clean off of the legacy liability is a Keno Hill is just about to go into permitting process by the end of this quarter and it will be into the federal government for final allocation of funds in 2019. And then the final number in terms of the cost of the cleanup will be driven by whatever comes out of all those processes but it's going to be an excess of $100 million for sure. And I think the heavy lifting on that will start in 2019-2020 something around there. And it's you know - the most of the work will get done in the first quarter five years.
Mike Niehueser: How likely is that that could begin in 2019?
Clynt Nauman: Well, it's - I guess it's possible. I mean we have to go through a process called the Treasury Board process and that's there is a cure projects, major projects across Canada that need to go through the Treasury Board. So it's a little bit fluid at this point as to where we might stand in that. We got to get through the permitting process first you know to acquire the proper optimization to do all the work.
Mike Niehueser: So some of that sounds out of your control like metal prices and such but if the mine goes it back into production, the mine is going to production, and the reclamation of the district starts, you could almost have two competing large cash flows coming out of the same project potentially in 2019, is that right?
Clynt Nauman: I wouldn't call it competing cash flow but I call them complementary. But yeah, so but I mean that's the beauty of this whole thing will be on site with that operators and equipment in it. Just to make that whole cleanup project you know that much more efficient then it would be as a standalone project. So yeah, it will be busy for sure.
Mike Niehueser: I just meant competing from the matter of scale because it almost seems like that the environmental business could exceed, it depend on metal prices, the amount of cash flow coming out of the mine, so investors are going to get a two punch potentially 2019-2010. The other think I would - the hike - the drilling is too much to think that it seems like you are really small centers of drilling, so it's probably too much for me to expect that there is going to be much enlargement of resource at Bermingham with the infill dill program that's anticipated. So we should be basically looking for upgrade the classification especially for the early production?
Clynt Nauman: Not necessarily. I mean it's a combination of infill and you know extension of exploration drilling especially below the level that we're going to be drilling from it. 2017 exploration indicated that this deposit open at depth and some of that can be tested with that underground drilling. So I think it will be very interesting actually. And I am not afraid at all to continue to assert that closing down that drill spacing to 10 to 12 meters although it's aggressive. And may not be what some operators would do. I think it's the right thing to do with this type of deposit which is so high grade and so valuable in the first three or four years of production here.
Mike Niehueser: It seems like it's the reserve level not measured and indicated, what are the ground conditions like for the decline exploration decline of Bermingham, is that caused any delays or is it just been like refer to the equipment type stuff?
Brad Thrall: Yeah, Mike, I think as we talked about earlier on in the call you know the challenge in any portal is getting established from the surface and getting going. You know we did have some more shift type rock units that we started off but predominantly now we're in the good core site type rock and it's pretty predictable and you know ground conditions are very favorable over the last probably two to three months.
Mike Niehueser: Thanks. Just about done here, Clynt, did you say that the surface drilling outside of the underground at Bermingham was going to be in the vicinity of Bermingham, is going to lending to that area as opposed to stepping out the Silver King and these other areas again?
Clynt Nauman: Yeah, I mean it's a subject to great debate at Alexco. You know we own this huge district and we tend to refocus with the drilling we are. We are convinced that Galena Hill is a good place to be. And certainly you know between Bermingham and Hector-Calumet where we found and what's previously been mined is more than 125 million ounces in that immediate vicinity. We have about a dozen other targets that are within I would guess couple of kilometers surrounding that area. And our plan is to you may have picked up on the fact that we're public and we expand our surface program. We think it's very compelling targets there, we're going to probably be working with three drills rather than two. And we're just going to make sure that you know if there is another Bermingham deposit to be found nearby, we'd like to know about that sooner rather than later. So that's going to be sort of the focus in additional to the fact that as I've mentioned before, we are going to start launching off some of these depots which have never been done, this type of drilling is never been done of Keno Hill before. I am trying to understand what the routes are disproportions of Bermingham life deposits might look like. And of course the blue sky statement there is that you may be looking for a much larger deposit right in the immediate vicinity of where we are working present time. So it's a long winded way of saying we put lots of targets, we're going to escalate our exploration program, we're going to hit hard and hopefully we can start targeting in more shallow very high grade silver mineralization.
Mike Niehueser: Well, it certainly been efficiently prior programs being able to expand him within budgets. Last question is you know you have really good short on your website of the mill next to the Flame & Moth portal and it's easy to overlook the dry stack tailing there right next to the mill. With the restart of the mill, I am sure you've already got this all may worked out but do you have room for the tailings, more dry stack tailings because it looks like you are going to be moving into production for quite a period of time. And like I say the picture doesn't show lot of excess area to put addition tailings, but if you could just comment on that I'd appreciate it? And thanks for taking my questions.
Brad Thrall: Yeah, Mike, yeah, we currently have enough permitted area space if you will for the entire PEA mine plant that's has been published. So our dry stack is in two phases, the current phase has about two years of capacity and then when that is complete, we would go to the second phase that would have enough capacity for the rest of the mine plant that as we know it today.
Mike Niehueser: Right, thank you.
Operator: This concludes the question-and-answer session. I would like to turn the call back over to Clynt Nauman, CEO for any closing remarks.
Clynt Nauman: Well, thank you for joining us today. We've remained focused and dedicated to moving the Keno Hill Silver District back towards production. We got a busy year here ahead of us with approximately 1,000 meters of declined drive. We have an extensive underground drill exploration program for about 5,000 meters. In addition, we are going to conduct and expand service exploration program and with a strong cash position that gives us plenty of runway to meet our objectives in disciplined and deliberate manner. And don't forget that in addition to this we recently announced a 15 million U.S. credit facility which we put in place about a month ago. As explained, there will be a clear project decision to project decision points as we progress with the development and the first of those being with the completion of the Bermingham decline in the second quarter of 2018 and then the decision to continue with development of Flame & Moth decline positive 250 meters with a final key decision point to proceed to production which will come near the end of 2018. As always we appreciate your support and interest in Alexco. .And with that I will turn it back to Lisa to close out the call.
Lisa May: You've been listening to the Alexco Resource December 31, 2017 fourth quarter and year end conference call. We encourage investors to visit Alexco's website for further information at www.alexcoresource.com. If you have further questions, please call my direct line at 778-945-6577 or e-mail me directly at lmay@alexcoresource.com. This concludes today's call. Thank you for joining us. Have a great day.